Operator: Good morning, everyone, and welcome to Grupo Televisa's Fourth Quarter and Full Year 2020 Conference Call. Before we begin, I would like to draw your attention to the press release, which explains the use of forward-looking statements and applies to everything we discuss in today's call and in the earnings release. I will now turn the call over to Mr. Alfonso De Angoitia, Co-Chief Executive Officer of Grupo Televisa. Please go ahead, sir.
Alfonso Noriega: Thank you, Digi. Good morning, everyone and thanks for joining us today. With me today are Salvi Folch, CEO of Cable; Alex Penna, CEO of Sky; Patricio Wills, Head of Televisa Studios; and our Carlos Ferreiro and Antonio Lara, Corporate Vice President of Financing Administration respectively.  Last year was one of the most challenging and uncertain periods that any of us can remember, not only because of COVID, but also because of the dramatic contraction of the Mexican economy by 8.5%, the worst drop in almost 90 years. 2020 also highlighted the importance of the services we provide, from our entertainment content to our newscasts, to our broadband and paid television services. Our content business continues operating without interruption, entertaining and informing our audiences and it played a critical role in the educational front, which in Mexico continues to be mostly remote. Also, our Cable infrastructure was able to cope with the needs of our customers who had to switch into a work from home environment. 2020 demonstrated the strength of our core businesses throughout the year Bernardo and I did not lose sight of our strategic initiatives and continue to focus on execution. More specifically, in cable we reached a milestone of 14 million RGUs or Revenue Generating Unit and delivered a growth in broadband subscribers of 16%. We also achieved high single digit growth in revenues and operating segment income. In the case of Sky, we continue to add in broadband and video customers and the company posted a top line growth of 3.7%. During 2020, Sky contributed with 3.8 billion in operating cash flow and maintains strong levels of profitability. And in Content, we were able to substantially compensate for the decline in advertising revenues with growth in other sources of content revenue and also with a dramatic reduction in costs and expenses. We are happy to say that we delivered the savings we promised the Ps. 2.2 million. Finally, our Other Businesses segment was severely impacted by the closing of the economy and posted a drop in operating segment income of 92% year-over-year. Unfortunately, due to the social distancing measures, mandated by the authorities, we had to close our gaming sites and soccer stadium. Also the large majority of the points of sale for our magazines were not open and not operating. In our movie distribution business was put on hold due to the closure of movie theaters. All these been circumstances outside of our control. As a result, full year revenue operates and operating segment income for the company dropped 3.7% and 1.3% respectively, and the margin was relatively flat. However, excluding the results of our other businesses segment revenues from our three combined core businesses expanded by 2% and operating segment income grew by 2.1%. In terms of our balance sheet, we close the year with a solid cash position of $1.8 billion without relevant short term maturities and with a net debt leverage ratio of 2.5x. Bernardo and I are pleased that our portfolio of core assets delivered growth in 2020, the most challenging environment the company has faced in many decades. In terms of our consolidated fourth quarter results, revenues were practically flat and operating segments income was up by 14%. This was driven by solid performance in cable, resilient operations of sky and material OpEx savings in content. Now, let me address the fourth quarter results in our content division. Advertising revenue was relatively flat. This is a remarkable result considering the contraction of this business in the first three quarters of the year, and the fact that a relevant part of the economy remained closed. Private Sector advertising revenues were strong, growing mid single digits; sequentially, there was a significant improvement across all sectors. On the other hand, government advertising revenues dropped double digits, and this was driven by the ongoing austerity initiatives. From the beginning of the new administration, the government implemented a number of public policy measures to release funds for other projects. One of these measures was the reduction of its overall investment in advertising, which continues to this date. Royalties from Univision increased by 8.8% in dollar terms, reaching $110 million, which is a record high for a single quarter. This was achieved in spite of the impact of the pandemic and was helped by political ad spending. In sum, during the quarter content revenue was down by 0.5%, but operating segment income grew 23.7%, mainly driven by Ps. 1.1 billion in savings. Moving on to the full year, content revenue declined 7%. This is primarily explained by the decline in advertising sales in the first three quarters of the year due to COVID. Throughout the year, our content division was extremely disciplined with costs and expenses, and we were able to reduce them as I mentioned before by Ps. 2.2 billion. This is a substantial reduction in our cost structure, particularly considering that most of it was concentrated in the second half of the year. From the beginning of the pandemic, Bernardo and I made a company wide mandate to examine every single cost and expense line to eliminate any unnecessary expenses, cancel many contracts with service providers, and renegotiate terms with many others.  As a result, during 2020 operating segment income in our content business was only 2.3% lower when compared to 2019 and the margin reached 37.9%. This is an increase of 180 basis points from 2019 and the highest margin since 2016. In terms of our upfront, I am glad to say that our negotiations with our customers have practically concluded and upfront deposits are expected to grow mid single digits. We're optimistic that this will contribute to reach an inflection point in advertising revenue during 2021. In addition, in spite of the fact that many social distancing measures remain in place, we see that many of our advertising clients are better prepared to operate in this complex environment, and have been more active since the beginning of the year. I will now turn it over to Patricio for a discussion of the progress we made during the year in our content offering.
Patricio Wills: Thank you, Alfonso. Television is -- more in Mexico. According to Nielsen during the last year viewership of free to air TV grew 3.6% year-over-year, and we were the main contributors to that grow. Our flagship channel Las Estrellas posted a year-over-year growth in viewership 21% during the combined areas and bystanders love reaching a five year rating record. Our newscasts were equally strong ratings in our nightly news program remained solid, almost doubling those of our closest competitor. The success of our 2020 productions was evident even before the beginning of social distance measures. In February, when ratings were already reaching the levels not seen since 2016. At the outset of the COVID pandemic for a period of time we have to replace much of our early afternoon content with library programs given this temporary closing of our production facilities. Even then, our absolutely growth delivery over 50% more viewers that the price and content of our closest competitor, we have a very valuable library we will continue to build over time. Televisa content continues to support Univision strong rate performance. Univision was the only network portfolio to grow the ratings year-over-year, allowing it to increase viewership sharing the Spanish language program to 88%.
Alfonso Noriega: Thank you, Patricio. Now moving on to Cable. Let me turn it over to Sandy.
Salvi Viadero: Thank you, Alfonso. In spite of the challenges we face during 2020, we're very happy with our results. We posted double digit growth in RGUs surpassing the milestone of Ps.14 million. Broadband customers drove most of the growth. But voice was also a contributor. The weak performance of video was mostly attributed to the difficult economic environment. Additionally, our customers are prioritizing connectivity as there are more options in the streaming service. Our network responded well, average monthly traffic per user went up by approximately 30% during the year, and our number of users increased by about 16%. This is a very relevant increase in the demand on our network. And we were able to satisfy. The investments that we made over the years are paying off and now allowing us to keep up with increasing demand for high speed problem. As a matter of fact, over the last five months, Netflix has placed us as the top broadband service provider in Mexico, according to various [Indiscernible]. Throughout the year, innovation was an important component of our strategy. During 2020, we launched multiple initiatives, including a disruptive mobile service, which closed the year with over 75,000 customers. Our easy eBay smart offer based on an Android TV set up box, which includes voice control, and allows us to offer all the relevant OTT alternatives. Our new linear EC feature, which allows our customers to take their fixed line number with them wherever they go, and aficionados, our experience sports only network, which now includes important sports content on an exclusive basis. Finally, we continued positioning ourselves as the leading aggregator of OTT services in Mexico. And we now carry many of the main participants, including Sling, Netflix, Disney Plus, Prime Video, HBO, Max, Stars, and others. Financial results were also strong. During the quarter, our revenues grew 7.3% while operating segment income grew at 9%, reaching a margin of 41.9%. For the full year, revenue growth was 8.8% and operating segment income grew 6.2% with a margin of 41.7%. While the MSO business contributes with most of the revenues of our segment, our enterprise business continued to build scale. During the quarter, we posted revenue growth of 9% and for the full year of 15.5%. This is the fastest pace of growth since 2016.  During 2020 capital expenditures reach $663 million equivalent to 31% of revenue. The majority of our capital in 2020 was directed at increasing our subscriber base and that supporting growth which was stronger than anticipated. In addition, we expanded our network by over 500,000 homes. As a result, we close 2020, with close to 16 million homes plans, of which more than 60% are passed either by fibre to the node or fibre to the home. Over the last decade, our market share of fixed broadband has expanded from 8% to about 25%. We expect to continue with the positive trend.
Alfonso Noriega: Thank you, Sandy. Now, moving on to Sky and let me turn it over to Alexandre Penna, CEO of sky.
Alexandre Penna: Thank you, Alfonso. 2020 was a very solid year for us. Our broadband offered continued building scale, and we managed to add customers in every single quarter of the year. Our combined net additions in 2020 were the strongest since 2016. And we close the year with 7.5 million video RGUs and 666,000 broadband RGUS. We now have become a relevant participant in broadband and a strong competitor. In terms of our financial results, revenue growth during the fourth quarter was 4.4%. Operating segment income growth was 1.6%. For the full year, revenue was up by 3.7%. Operating segment income was in line with last year, and we reached a margin of 41.3%. For 2021, we have a number of initiatives to maintain our standard base of growth. For example, last month, we launched a package called Sky Sports. This prepaid offered with the exclusive that sports content, such as the Spanish League, the English Premier League, and many other eSports properties. Sky Sports also includes all free to air channels and Televisa suite of pay TV channels. This package is an effort to further monetize Sky's investment in exclusive sports content, and is being positioned as a must have for hardcore sports fans that are satisfied with their current providers of broadband service. We will continue developing and testing for the pay TV and telecom offers to maintain the resilience and profitability of our business.
Alfonso Noriega: Thank you, Alex. Now in terms of Univision on December 29, Searchlight and ForgeLight concluded the acquisition of a majority ownership interest in the company, and as part of the transaction, we converted our warrants into common stock. The management transition took place in a swift and successful manner. As soon as Wade Davis assumed the role of CEO he set out to revamp the company's strategy and incorporate world class talent to the team. In addition, as announced previously, Univision named four very accomplished Hispanic business leaders as its new independent directors. They are Marcelo Claure, CEO of SoftBank group International, Oscar Munoz, Executive Chairman of the United Airlines. MC Gonzalez, Senior Vice President of Global Public Affairs of Estee Lauder, and [Jasel Reif], a 26 year veteran of Walmart. Most recently she served as Chief Operating Officer of Sam's Club. This impressive group of individuals appreciates Univision's extraordinary potential; they bring a very unique understanding of the Hispanic market and substantial strategic and operational expertise. On the Televisa side Bernardo, Emilio and I will also serve as board members. The implementation of aggressive cost action at the beginning of the pandemic allows the Univision to benefit from the sequential recovery in advertising in the second half of the year. During 2020, Univision was also able to refinance over $4 billion of debt extending its maturity profile. Earlier this year, Univision announced PrendeTV, a streaming service designed exclusively for the US Hispanic audience, with free premium Spanish language programming to be launched in the next few weeks. This service would allow Univision to have a leadership position in the Spanish language, streaming space, just like it does in Spanish language linear television. Today, Bernardo and I have the closest working relationship with ever had with Univision, and I'm looking forward to supporting Wade and his team with all the initiatives they have in the pipeline.  Moving on to capital expenditures. Last year, they were $939 million lower than our guidance of $970 million and lower than our CapEx in 2019 or close to a $1 billion. For 2021, our CapEx will be slightly higher than last year as we take advantage of growth opportunities, particularly on the cable side. Finally, I am happy to report that our Board of Directors approved yesterday the payment of our regular dividend in 2021. This will be presented for approval at our annual shareholders meeting. In closing, 2020 took us all by surprise. But we were caught in a very solid pudding, producing strong and attractive content and with very robust video, voice and data offering. In this environment, we were able to increase ratings in our content on free to air television to levels not seen since 2016. We also protect our margins in our content business as a result of the aggressive cost actions that we took throughout the year. We continue gaining market share in telecom services adding over 1.7 million RGUs in broadband, voice and mobile between Cable and Sky. This is our fastest pace of organic growth on record. At every moment, we maintain sufficient sources of liquidity and solid balance sheet and strict financial discipline.  Finally, in an economy that contracted 8.5%, we delivered growth in revenue and operating segment income for our three combined core operations. 2021 will continue to be a challenging year, but we will remain focused on delivering solid results for all our stakeholders. Bernardo and I are optimistic about 2021; first, connectivity has become very important in every household. And we are benefiting from this trend. So we will continue to invest and grow in our broadband operations. Also, as a result of the positive outcome of our upfront negotiations, we believe that we will see in 2021 the inflection point for our ad sales business.  Before we close sadly, I would like to say to inform to you that our friend Carlos Rivas will be leaving us after many, many years of dedication and hard work. Thank you, Carlos. We wish you all the best in your new activities. We will be announcing the new IR Head in the following weeks. Thank you very much for your attention and we're now ready to take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Arturo Langa from Itau BBA.
ArturoLanga: Hi, thank you for taking my question. Good morning, everyone. I think the first question I have is, Alfonso you mentioned the new talent being incorporated into Univision. And on that note, you were also named Chairman of the Board for Univision. I was wondering what it means for you for TV and for Univision. I would love to hear your thoughts on that. And then second, is the cost savings on the content side were very impressive. And I know you've talked about some of that being more or less permanent for 2021. But I was just wondering if that has changed the results after fourth quarter results considering you're seeing more of an inflection point on the app advertising gross revenue. And then just lastly, I would also like to extend a very warm thank you to Carlos for all the help he's given me over the past two years. So that would be all of my side.
AlfonsoNoriega: So thank you Arturo. Going to your first question about Univision; it's a very interesting story, let me give you some color and background. As I mentioned before Emilio, Bernardo and I will serve as members of the Board of Univision. And what happened there was that after the closing of the acquisition, our new controlling partners originally offered the position to Bernardo and I have Co Chairman and Bernardo basically decided not to take it as he would rather stay focused on the execution of our strategic plan in these very turbulent times. So then it ended up with me, and Emilio and Bernardo thought that it was a very good idea, but I accept so it's not because of any personal merit of mine, obviously, it's because of my role at Televisa. It's interesting that the Bernardo I operate Televisa as Co CEOs working as a tight knit team, I would say, under what I can characterize as a very successful partnership, in which all the decisions are made together, and we leverage on the strength of each other. It has worked well for us. It's a different style, but I can say that it has worked well for us, and I believe for Televisa. And in that spirit, I will serve as Chairman of Univision for an initial term. And then we will be rotating and Bernardo will take over. As to and in the level of collaboration between Televisa and Univision has been increasing over the last few months. The personal relationship that Bernardo and I have with Wade Davis and his management team is the best we've ever had with Univision. Wade is doing a great job and has reenergized the company. I believe Univision was kind of a sleeping giant. We're now fully aligned and understand that the closest that we work together, the better for both companies, we will do many things jointly as we evolve into the digital transformation of both Televisa and Univision with the view of taking advantage of our combined scale, which is means a lot. Together, Televisa and Univision are by far the largest media company in the Spanish speaking world. And also by far the largest producers of content in Spanish, among many, many other things. So we're very happy with this relationship, and with all the things that we will work on as partners. As to your second question. There are many costs and expenses that were permanently eliminated. Having said that, we think that in 2021, which we believe will be a more normal year, costs and expenses will be similar to those in 2018 in nominal terms, however, I mean, we have a lot of uncertainty, as to I mean, for example, we don't know whether we produce and transmit the Olympic Games, that will happen in Tokyo, which is a big thing, a big line item for us in terms of costs and expenses. So we could not have --I mean, we do not have a precise figure at this moment. But you can be sure that I mean, as you saw the other night have been obsessively on top of all the costs and expenses and will continue to do so.
Operator: Our next question comes from the line of Carlos Legarreta from GBM.
CarlosLegarreta: Thank you. Good morning. I hope you are all safe and healthy. My first question is to follow up on Univision; Liberty Global took a minority investment during the quarter. Could you please elaborate on what does this mean for Televisa and the relationship with UVN? Thank you.
AlfonsoNoriega: Yes, thank you Carlos for your question. We're very happy to see Liberty Global actually made an investment in Univision. That was the preferred type of instrument. And this was together with Searchlight, ForgeLight and of course, as a result of that they became partners of ours. I think that and they saw this as a great investment opportunity, considering the potential of Univision. Especially if you look at the growing Hispanic market demographics, and also the great prospects that we have on the digital transformation side. They also have told us that they see a great value that our content delivers. And the huge library of 1000s and 1000s of hours that Univision can have access to. What Mike Fries has mentioned to both Bernardo and I is that he made the investment to strengthen the relationship between our two companies. And, of course, they and the US would like to do many more things together. And we really appreciate Mike doing making this investment. Mike has been an amazing board member. We're also proud and happy to see that a company controlled by John Malone, one of the smartest and most admired investors decided to bet on the future of Univision, so we're very happy with our relationship with Liberty. And we're very happy with their investment and becoming partners.
Operator: Our next question comes from the line of Gordon Lee from BTG.
GordonLee: Hi, good morning, everybody. Thank you very much for the call. And I'd like to join a Arturo, congratulations, Alfonso for your naming as Chairman, important for you know that the joint chairmanship, you'll eventually have a good amount of those as well, and also to thank Carlos, for his many years of help and support. I have a couple of questions. One is just I guess a follow up on the two last questions and thinking about the Televisa relationship with Univision, and then the comment you made on costs for 2021. I would assume that that the expectation that costs will be similar to those of 2019 in nominal terms, does not assume any sort of additional ramp up and potential joint initiatives with Univision, that could benefit the cost side, I guess, if that were to happen, it would probably materialize later. And it would probably be incremental to that. And then the second question I had on your upfront, I was wondering if you could maybe tell us a little bit maybe qualitatively of whether you feel that your customers are now sort of approaching their ad spend in a more normalized way in the sense of the sort of adapted to COVID. And second, when you look at your upfront deposits, are there any sorts of shifts in terms of the industry or sector composition that you could detect? Thank you.
AlfonsoNoriega: Hi, Gordon, thank you for your question. I guess in terms of costs and expenses, all the AVOD projects that we have in Mexico has been considered in the budget, and this will be very important for us. Launching the AVOD platform through Blim. So that's captured there. We were basically mentioning that we haven't finalized the failure because of events such as the Olympic Games, whether they will happen or not, and others in terms of doing more with Univision, I think I mean, the ones that we have identified, the things that we'll do together and are part of the plan has been captured in those costs and expenses. If we do something in addition to that, those will be growth opportunities. And they will be, of course, on top of what I mentioned. Yes, I mean, we as to the upfront, we are basically seeing that our advertising clients are living a better environment. Basically, we're seeing an increase across the board, with some industries growing more than others. For example, advertising, spend in food and beverage was up by basically mid single digit, year-over-year. This is last year with retail telecom service and sales cosmetics up double digits. Our clients have realized they think that the slowdown in ad spend in the first nine months of the year was starting to erode their brands. And this has also picked up in 2021. And as part of the plan as an advertising client even in this environment, it's important to get your message across and to start to get your revenue back in place and selling your products. So with our very strong ratings, we have shown that we continue to provide the most cost effective way of promoting their brands and their products. So we feel optimistic about what Televisa is offering in terms of products and the capacity that we have to basically promote those brands and products. So we're optimistic about 2021.
Operator: Our next question comes from the line of Marcelo Santos from JPMorgan.
MarceloSantos: Hi, good morning. Thanks for taking my question. I just wanted to get a little bit more clarification on the upfront. So on the front of the previous year, was everything spent in 2020? And if we think that the upfront growing mid-single digits and you have clients that buy outside of the upfront, so is that reasonable to expect a higher growth in advertising revenues in 2021, [Indiscernible] that's the first question. And the second question is on the broadband growth, if everything is to the collection is are still doing very well with churn is behaving well or are seeing some impacts of the weak economic environment in these numbers. Thank you.
AlfonsoNoriega: Thank you, Marcelo. Yes, as to your first question, considering COVID and the dramatic drop in GDP, some clients, were not -- that were not operating fully, or were not operating at all, during 2020, canceled some of our upfront plans, while others decided to push their commitments to 2021. So of course, as a result of them not being able to operate, for example, tourist and the tourism sector, airlines, et cetera that were facing severe financial distress, just as an example of one industry, of course, they decided in some cases to cancel their plans. And in other cases, we were able to negotiate pushing their commitments to this year. So as to your second question, I'll ask Salvi to answer.
SalviViadero: Yes. Hi, Marcelo. We are very happy with the broadband growth that we experienced during 2020. There is no doubt that connectivity is very, very important for our customers. And we provide an attractive offer. As you saw our result, there was a low down in the fourth quarter, right. But I think that it's going to be industry wide, we still have to see the results of some of our competitors. But when you see Telmex additions on the fourth quarter, they were also lower than on the prior quarters. There's no doubt that the economic environment has been challenging. GDP had a relevant contraction, and disposable income for many of our customers has declined, but they have been providing or prioritizing broadband. Collections remain solid, and we are happy and the use of the network has increased. So we have very competitive bundles. What some of our customers are doing they are canceling video mainly, that's why we had a slowdown on video. But I think that on the offers that we have on broadband has allowed us to remain very competitive.
AlfonsoNoriega: And Marcelo just to clarify the upfront plan when we talk about the mid-single digit is when comparing last year's upfront plan with this one.
Operator: Our next question comes from the line of George Sonido from Goldman Sachs.
UnidentifiedAnalyst: Hello, good morning, everyone. Hopefully safe you and your family and thanks for taking our questions. So two questions on our side. The first one is if you could give us an update on how the other businesses segment has been recovering [Indiscernible] so far, even how much of affected by COVID-19 over 2020 and this first quarter. And also a second question we saw another very relevant improvement, market improvement in content this quarter. And if you see any room for margin similar margin gains in other segments as well that we should expect that from similar popular events. Thank you.
AlfonsoNoriega: Thank you, George. As I reported other businesses and that segment was severely impacted by basically the closing of the economy as a result of COVID. In terms of operating segment income, we lost 92% year-over-year. I mean, it will all depend on what happens with COVID, and the relaxation of the measures of the sanitary measures and vaccination. So we believe it will be a better year. However, it's all -- it all depends on that, for example, I mean, if we can open the soccer stadium and have public going to that stadium, again, if the points of sale of the magazines are open or not, and especially whether the bingo partners can or the bingo operations or the gaming I am sorry, operations can open or not, of course, we shut down 100% of the gaming operations, then towards the end of the year, we were able to reopen some of them. But now they're pretty much shut down. And also when we open them, they were at lower capacity than then of course 100%. So it all depends on those -- I mean on the measures and the relaxation of the measures and the effect of COVID and vaccination. And I'd like Alex to answer your second question that had to do with margins.
AlexandrePenna: Hi, George. As you saw margins were very solid across all our business segments, cable and sky above 40%. We believe that those margins can be similar in 2021. On the content side, margin was close to 38% was also very solid, remarkable if I could say that way consider the circumstances that we faced in 2020. As Alfonso mentioned, the costs and expenses will be similar to 2019. But we will maintain strict control over costs and expenses to make sure that we protect our margins in 2021 as well.
Operator: Our next question comes from the line of Gilberto Garcia from Barclays.
GilbertoGarcia: Hi, good morning and thank you for the call. I had a question on the Cable, the relative performance of Cable, pay TV relative to Sky and I guess understandable that the economic pressures have impacted Pay TV net additions, but then why -- so what would you attribute the continued resilience in Sky and as a follow up on a Sky, there was a decrease in the margin even the restart of a sporting event. Would this margin in the fourth quarter be a reasonable assumption for the margin for this year? Thank you.
AlfonsoNoriega: Thank you, Gilberto. I'll ask both Salvi and Alex to take your questions.
SalviViadero: Thanks Gilberto. As I pointed out the economic environment has been challenging and the disposable income has come down. And well our customers are prioritizing connectivity, right? While we're losing some video customers, we are maintaining most of these households as customers, we sell three services and then they can eliminate one or two. The bundle is very competitively paid TV becomes affordable with the bundle. But if they have to reduce some of the cost, what we are seeing is that they take out a video, we hope that if the economy improves, we will be able to recover some of those pre play customer. Let me remind you that we sell on our postpaid. So they have to pay for the services at all times. They don't have the option to suspend temporarily the payment of a service as opposed to a Sky. Now there's also a shift in preferences from linear channels to OTT that's why we're including more subscription VOD services and becoming an aggregator. And we also have to note that we had a price increase in September right. So we had some additional cancellations, specifically of video during the quarter. So we are facing headwinds on video as opposed to Sky and Alex can you elaborate on the resilience of Sky.
AlexandrePenna: Hi, yes. As you know, the bulk of our video customers in prepaid packages. And that's a very affordable offer. And very flexible as well as being a prepaid product gives the customers the ability to recharge when they have the money to do so. And if they have to skip the following month because they don't have the means to pay, they can also do so. We increase the price of prepaid products back in December. That obviously will make some dent on the churn. But so far so good what we have seen since the price increase. It hasn't affected the business in a meaningful way. With regards to VOD base, we have a very solid product with some of our packages, including all our exclusive is sports content. And that is very appreciated by the market. And we were also able throughout this year to increase our base of postpaid subscribers. With regards to our broadband offer; it's also a very competitive offer a very competitive price. And as you can see in our results, we have added more than 270,000 subscribers of broadband throughout plan and the outflow was 666,000. And it's also we also benefit from the pandemic as you saw in our results in the second and the third quarter. In the fourth quarter, there was a slowdown in our growth of broadband compared to the previous two quarters as well as in terms of net add of video. But there is no doubt that the 8.5% drop in the growth of the Mexican economy in last year and also the increase in the number of people that have lost their jobs that should have an impact in throughout 2021. But I repeat so far so good. The levels of sales of our video and broadband products have gone to more normal levels pre COVID. And so far the churn has been under control.
GilbertoGarcia: Okay, thank you and on the margin side; was the amortization of sport rights that you posted in the fourth quarter, let say a normalized level or did you have to amortize any rights that would have occurred in previous quarters.
AlexandrePenna: No, it's basically during the second and third quarters. There were various sports events that were deferred and therefore we didn't amortize them and those that were deferred or cancelled we didn't amortize them in the second and third quarter, and we did so in the fourth quarter, so and it's also a cyclical amortization that happens every year with regards to our exclusive sports content.
Operator: Thank you. At this time, I'm showing no further questions. I would like to turn the call back over to management for closing remarks.
Alfonso Noriega: Well, I would like to thank everyone for joining us today. As always feel free to contact us at any time for additional questions.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.